Operator: Thank you very much for attending despite your busy schedule today. We now like to start briefing session for NTT, Inc.'s First Quarter Financial Results of FY 2025. I am Takashi from IR office serving as the moderator today. Thank you very much for your cooperation. First, I'd like to introduce today's attendees. Representative Member of the Board, Senior Executive Vice President, Hiroi; Senior Vice President, Head of Finance and Accounting, Nakamura; Senior Vice President, Head of Corporate Strategy Planning, Hattori. These are the attendees from our side. Today's briefing is audio streamed live. It will be available on demand on the website at a later date. Your understanding is very much appreciated. I would invite you to refer to the presentation material posted on our IR site for this briefing. Also, may we ask you to kindly read a disclaimer on the first page of the material. First, we've seen Executive Vice President, Hiroi, will explain the overview of the financial results, and then we will take your questions. Well, Mr. Hiroi, please.
Takashi Hiroi: This is Hiroi speaking. Thank you very much for attending our briefing session despite your busy schedules. So I would like to explain FY 2025 first quarter financial results overview. As for the results, overall, operating revenues increased and operating profit -- and profit declined year-on-year. Operating revenue for the first quarter reached a new record high levels. As for the revenues, though there was an approximately JPY 50 billion decline from the FX rate impact due to the revenue increase from the enterprise business expansion at each group company, the operating revenue was JPY 3,262 billion, up by JPY 22 billion year-on-year. As for the operating profit, although NTT East and West increased at a DOCOMO, in addition to the decline in the mobile communication service revenues due to the rollout of initiatives such as strengthening customer base and improvement of mobile network quality, EBITDA was JPY 801.4 billion, down by JPY 13.9 billion year-on-year. Operating profit was JPY 405.2 billion, down by JPY 30.6 billion year-on-year. Profit was JPY 259.7 billion, down by JPY 14.4 billion year-on-year due to decline in operating profit. The overall of the valuation of the first quarter. The foreign exchange rate was a bit more yen appreciated than what we have expected, but both revenue and profit as this progressing as expected by continuing to surely reduce the cost and expanding the enterprise business and others. We will work towards achieving the annual consolidated plan. Next will be the overview by segment. As for the integrated ICT Business Segment, though the mobile communication service revenue decreased, revenue increased year-on-year due to growth of Smart Life business led by finance business and the organic growth of the enterprise business. As for the profit, there was an increase in the enterprise business and implementing various measures to improve the income in expenditure, profit declined year-on-year due to implementing measures to strengthen customer base and improve network quality. As a result of initiatives to strengthen our customer base, MNP was positive in the first quarter cumulatively. Towards achieving the annual plan, we will strengthen our competitiveness as we're continuing to strengthen our customer base and improve our network quality as well as surely conducting cost reduction and expanding our growth business, such as Smart Life business and enterprise businesses. Next is regarding the Global Solutions Business Segment. Although there was an increase in revenue due to capturing the DX demand in Japan, there was a negative foreign exchange impact of approximately JPY 50 billion and therefore, both revenue and profit are at the same level as the previous year. Next is regarding the regional communications business segment, resulted in increase in both revenue and profit year-on due to the increase of revenue of both enterprise and optic fibers business, though the legacy business revenue is declining. Furthermore, the net additions in the fiber optic services has increased year-on-year due to 10 gigabyte plants and setting sales are providing service to the entire apartment building. And as for other segments, due to the growth of data center engineering at Urban Solutions, both revenue and profit increased year-on- year. From now on, I would like to share 5 topics. First of all, the very first one, I'd like to talk about tsuzumi 2 upgraded purely Japanese- made LLM. And about the tsuzumi is a purely Japanese model that NTT developed from scratch, and we will be releasing the second- generation tsuzumi 2 in October of this year. We have significantly improved its ability to understand complex context and meanings which is necessary for interpreting internal business documents and manuals, a feature that was highly requested by our computers. For example, the accuracy of responses to inquiries about the accounting manual has improved 4x compared to the -- of the previous model and performance is a comparable to that of other companies for models in benchmark comparisons. In addition, [indiscernible] maintained its cost while performance and effectiveness by running on a single GPU. It is also compatible with on-premise environments. And as a purely domestically produced model, it can be used safely even with a highly confidential information. We hope you look forward to this upgraded tsuzumi 2. Next, well, the NTT DC REIT listed on the Singapore Exchange. NTT DC REIT real estate investment trust managed by NTT DC REIT Manager, a consolidated subsidiary of the NTT DATA Group has been listed under Singapore Exchange on July 14, 2025. And through the transfer of six data center assets, which is composing this -- and then well, with this while listing. The recovery cycle of data center investments could be accelerated and also we will be able to generate investment funds and maintain financial soundness while further growing our DC center business and maximizing our corporate value. Next topic is the IOWN use cases and Expo 2025, Osaka, Kansai, Japan. May 24 and 25 on our NTT Pavilion days this year, NTT held Hanakurabe powered by IOWN, a real-time joint performance using IOWN APN and two-way transmission were between Japan and Taiwan and Hanakurabe Senbonzakura Expo2025 version was were given. At the NTT Pavilion computers utilizing IOWN 2.0 consumes just 1/8 of that power of conventional computers. In FY 2026, we aim to offer a commercial version with twice the commercial communication capacity of the EXPO version. And the next topic is the announcement of the policy for future fixed-line telephone services. Given the deterioration of NTT East and West Copper-based telecommunications facilities and the decline in cost efficiency in the future, NTT East and West plan to gradually transition to fiber optic and wireless based fixed line services by 2035, ensuring the continuity of fixed-line telephone services. To avoid closing inconveniences at 2 existing customers, we will provide sufficient notice and transition period before switching to alternative services. And entity East and West plan to announce basic policies and related information around late September. The very well final page is about the progress under the midterm management plan strategy since -- and so the progress is made is as shown, I hope you will, will take a look at it at your leisure. Thank you.
Operator: Next, we would like to move on to the Q&A session. [Operator Instructions] Now we would like to take a question from Nikko SMBC Securities, Mr. Kikuchi.
Satoru Kikuchi: This is Kikuchi speaking. I have 2 questions. The first is what you have explained the NTT DC REIT. It has listed, and it seems that it has slightly declined, but the response is -- how are you looking at the responses that you're receiving right now? As even Mr. Hiroi said just before, using that scheme, you want to accelerate investment cycle of data centers and you'll be able to circulate the funding in an effective way, and I have high expectations towards that. However, is it really going to be something that's usable. I want your feeling on this? That's my first question.
Takashi Hiroi: This is Hiroi speaking. At the total evaluation is -- has reached the past score -- passing score. From this spring, we went through various processes such as premarketing activities and others. And the market environment, there was the impact of the Trump tariffs. And the market was kind of soft. And also in the Singapore market, at the data center REIT, there were ones that were not outperforming so well. So there was a slight of a negative impact that we have received. However, data center REIT that NTT is sponsoring and the content of the asset has been valuated to a certain level. So we believe that we have received a certain level of positive valuation from the investors. And the scale being large and being able to hold for a long term, I cannot name them, but it seems that an anchor-type investors are participating. And the pricing and in terms of launch pricing, I believe that there are various evaluation sources. But I think it is overall a satisfactory valuation. Thank you very much. The communications with the investors increased the scale, sell it. It became something that you can absorb that, meaning that on a regular basis, you'll be able to sell and transfer your assets, and that was the passing grade. Well, if we are not able to do such a thing, there is no meaning to it. So on a regular basis, towards the market as us, a good quality asset that is in line with the investors' expectations, we will transfer to the REIT, and we want to grow the REIT itself. And I think we were able to make the start that will enable us to do that.
Satoru Kikuchi: Okay. My second question is related to performance of the first quarter. At DOCOMO, I have various questions -- detailed questions, I'll ask them later. But overall the JPY 405 billion of operating profit, I was forecasting about JPY 430 billion. So I thought it may be close. But DOCOMO as expected is still weak and for NTT East and West, as you said, yes, have increased their profit. And for the first quarter, as your company, how are you looking at it? Maybe it is not satisfactory, but so slow, but still it is as planned. Hiroi san from your perspective, how are you viewing the results of the first quarter?
Takashi Hiroi: Well, this is Hiroi speaking. Just before, as I explained in the overview explanation, over all the performance was in line with what we had expected. However, if we look in detail of the content of it, there's the ups and downs, as you have pointed out, Mr. Kikuchi. But in a large way, what impacted the profit was the DOCOMO mobile business. Later on, I believe there will be an explanation from them as well. They are strengthening their mobile business and MNP turned positive and continuing positive. And in terms of ARPU, it is a proceeding in line with the plan. And I think that is good. However, in order to maintain that to improve the strength of their marketing and sales capability because the competitive environment is becoming severe. So at the point of selling the handsets, reinforcing the sales activities had a slightly negative impact in the results. And in order to strengthen it further, it will require cost. However, this part we need to maintain our market share. Therefore, in order to achieve the overall full year of performance that needs to be done thoroughly as well as the cost-reduction efforts. These are things we would like to continue to do on a full year basis. And also for DOCOMO on the enterprise business side, via DX demand and also, we have the special elements factors such as GIGA school. The enterprise business is steadily growing. What was slightly a concern, which was the SME customer side of the business. Their revenue is increasing. So we are seeing signs of improvement on that part of the business as well. Therefore, for the Integrated ICT communications segment, that is something to evaluate. And for the -- there was an announcement for NTT DATA yesterday. And though there is some FX impact, they were able to secure the revenue in line with what they did last year. So same as the domestic DX demand they're able to capture that demand. And as that is for the Global Solutions and also for the regional communications, they are increasing their profit, and that can be highly evaluated. There was some impact of selling the asset last fiscal year, there were some ups and downs. But the trend is that the profit trend based on the network, and it is starting to bottom out. That is all. Thank you very much. That is all from me.
Operator: Well, then next from Daiwa Securities, Tokunaga san.
Kazuki Tokunaga: Yes, Tokunaga from Daiwa. I have 2 questions. First question, NTT DATA TOB progress. And well, in the past, well, from the autumn to winter, well, I think this will be done. And that year, as of the end of September, you had the IR Day. I think for disclosure will be well present made. And is that the correct understanding? And also the MIC is now conducting hearing. And on that basis, well, the time line and for generating synergy with this TOB and NTT DATA, it's not going to change. TOB processes, we are really making steady progress? And TOB and so our 81% being purchased. And as of the end of September, we are to complete the entire TOB process. And so there is not much major concern with this kind of process. Also in this way, and as you have pointed out, the market verification council or survey is conducted. And then there are various opinions were expressed. But on our part, as for the welfare competition, well, there are legal sort of requirements, and we are complying with this for legal requirements. And some kind of concerns have been expressed. But what exactly is their concerned, which is not so clear. And so within the rules, we are responding and so we don't expect to see any major sort of negatives from these concerns. And so also the share of NTT DATA is quite different from that of NTT DOCOMO. And so it may not be really giving major impact to market because of the smaller share. And so with this kind of fabrication procedures, we hope that we will be able to remove for this kind of anxieties or concerns, and we hope that we will be able to really well make progress in line with the plan for TOB. And second point is related to disclosure this time, NTT East and West. And so you have changed a lot in terms of breakdown of revenues are. And what you have presented according to the 4 quadrants and then you will be breaking down on a quarterly basis. And so you have the work in progress and also the legacy and so the profit margin and others. I hope you will once again help me understand. And also, we have a JPY 25 billion increase and also JPY 40 billion increase. And so with this increase in revenue will come from all these major business segments. Is this the correct understanding?
Toshihiko Nakamura: Nakamura speaking. Thank you for your question. As Mr. Tokunaga pointed out on IR Day last year and for the regional communications segment, where are we going to grow and so in which of the areas are we going to really well organized and sold the business out. And so that was announced on that day. And in line with that, we have separated the quadrant and then to really well show the revenue by such classification. And as for the profit or income, as you have just mentioned, the sale income from services by service, and we think that we need to further clarify and present for the income from different segment or different business domain more clearly. And so this is something we need to work on and improve on that. And so please allow us to spend some more time. I hope I have an answer to your question.
Kazuki Tokunaga: And a follow-up question. And the net adds of Hikari is very steady and also the fixed line migration and you are presenting the path going forward and also both for optic fiber business and also the fixed line. I think when you are seeing more upside compared to what we presented on IR Day. Is that the correct assumption?
Toshihiko Nakamura: Well, in the longer-term plan and lately, as Hiroi san mentioned, as for the optical services, we have been implementing various measures in many areas and also the service sales is growing -- and has been growing steadily. And the revenue from that is growing steadily. And as for the fixed line telephone communications and the number we are presenting has some noises. And also, we have some one of factor. And so we hope that we will be able to really talk more in details. And so I think excluding that, the revenue is decreasing. But in terms of the overall trend, we are seeing favorable trend. Well, that's all for me.
Operator: From Nomura Securities, Mr. Masuno.
Daisaku Masuno: I have 2 questions. First is a negative and second question is kind of positive. April to June, if I look at the numbers during this period, the structural issue, NTT DOCOMO telecommunications, NTT DATA enter overseas SI business seems to be struggling. So I'm wondering how are you going to respond to the situation? First of all, the mobile communications service revenue of DOCOMO and it's flat or the -- for handsets and MNP is a plus, both is plus, but it's a negative JPY 15.8 billion for revenue. Why is there such a decline? And the consumer communications operating profit in 3 months went down by JPY 42.8 billion and in full year, JPY 30.7 billion decrease. So you have already exceeded the full year. So how are you going to recover to the full year level? So the integrated ICT communications business segment from mobile and NTT DATA's overseas business, I'm sure there's an FX impact. But I believe you're saying the same thing for about the last 10 years. What can be done to this to become more of that? I would like to hear your thoughts on these points.
Takashi Hiroi: This is Hiroi speaking now. As you have pointed out, Mr. Masuno. First of all, DOCOMO's consumer mobile communication service revenue, regarding the ARPU, we are starting to see a bottoming out and MNP is plus/minus 0. However, since the last fiscal year, there was a contingency of a decline. And that impact seems to still -- seems still remaining if you look at the numbers. So this is a flat trend, if this starts to stay that way, I think it will start to bottom out. So for this fiscal year, there is still a declining trend impact that was continuing from last fiscal year. And the challenge will structurally speaking, the ARPU or the numbers of subscribers should be -- should stabilize moving forward. However, on the other side, we are spending a lot of the marketing cost to strengthen the sales capabilities. So how much are we going to be able to absorb that cost is the challenge we need to overcome. However, the costumer base we need to surely support that or else these declining trend is not going to stop. Therefore, though it requires cost, we would like to surely absorb that and strengthen it. If we make it too strong or relax it in the mobile handset business, we have the mass retailers and the agents through them, we're selling the handsets. So the sure commitment to these people or the DOCOMO sales policy needs to be surely strengthened in the medium term and showing that to those is important. And that is why we would like to do that. The management of the profit, as you have pointed out towards the fiscal year-end, though, it's not easy, maybe a Smart Life business, it has a structure as we go into later in the fiscal year, it will generate more profit. So in a total perspective, we would like to manage the profitability to achieve the annual plan. And also the second NTT DATA, especially overseas business, you have pointed out that is my understanding because the Japan domestic business comparatively speaking, is performing steadily. That was announced by NTT DATA yesterday, and the numbers are telling that story as well. However, for the overseas business, there are going through trials and errors still. You've mentioned that it hasn't changed for 10 years. That was quite a severe comment, but there have been improvements that have been made. By region, for example, North America, the orders are received and the sales both were declining, however, still continuing for the first quarter, but from the second quarter onwards, they are starting to see signs that it's going to bottom out and they are able to win a large account as well. So we would like to keep an eye on that. And for Asia, the foundation -- the base business is stable. The last fiscal year regarding the Australian business, it had many issues and that is starting to come about. And we are actually responding to that right now. So we'll be able to see that positive effect towards the latter part of the year. The most concern is the Central Europe -- well, Europe, the Holland and the German country. They have a high dependency on the automobile manufacturing industry and the automobile industry is facing difficult times. Therefore, the businesses that are conducted in those countries and area, there's still not seeing signs of improvement. However, even these areas, well, they also have the data center businesses that are performing strongly. And so in a total picture, we believe that we are heading towards -- and we are evaluating it as they are heading towards improvement direction. So I hope you understand that.
Daisaku Masuno: Maybe I said for the last 10 years, you haven't changed. I was a bit rude. So I would like to take that back. And the second question is for the business that is growing. When I look at your share price, how would your data center be evaluated as a key point is what I think? If we just look at the P&L, there is amortization, depreciation, interest rates. So it's a very small profit. So it does not become a large valuation. However, this part, not from the P&L but not EBITDA, but the true cash flow after interest payment after tax and after maintenance CapEx have adjusted funds from operation. If we look at it from the recurring cash flow perspective, we were able to make a higher valuation than just looking at the profit level. So in addition to the EBITDA AFFOs disclosure is what I would like to request. Of course, we can estimate it. However, if there is an official number then at the market multiplying it -- this be able to see a clear number than multiplying it and PE are. So after interest rate payments, tax or CapEx, the cash flow of that, how much is that increasing? Or in what way is it going to increase? If you do have some visibility, I would like you to share that with me.
Takashi Hiroi: This is Hiroi speaking. Mr. Masuno, what you have requested and pointed out, well, the data center business in order for it to be correctly evaluated from all of you. I think what you pointed out is extremely important. We also have a REIT, so from that perspective, the valuation of the REIT will be conducted. So we will be coming up with the estimation calculation of that so in a very forward-looking perspective or positive direction, we would like to work on the disclosure of such information. So I'm hoping that you'll give us a bit -- a little bit of time. And together, in addition, the movement of the actual cash flow. Currently, I'm sure you'll be able to conduct your own estimation. Looking at the profit, you will be able to estimate the movement of the cash flow. And of course, it's going towards the positive direction. However, for this as well, as you have pointed out, in line with the timing of the disclosure, we would like to come up with a way of disclosing it. So at that time, I would like to give more specific explanation.
Daisaku Masuno: Yes, what I am assuming is that looking at just the overseas data center business, AFFO, in 2 years, it's probably going to double the cash flow pace, starting this year as a base, fiscal year '27 fiscal year 2028. March of 2028 when the medium-term plan is going to end. It seems that there will be a double of the cash flow that will be generated is what I'm assuming or estimating. Is that a too high number?
Takashi Hiroi: Well, regarding that point, please forgive me of refraining from answering that question in a quantitative way. But it is a fact that it is heading towards improvement. So we would like to gather the material and explain that in appropriate timing.
Daisaku Masuno: Please, please do so. If you will do that, the external valuation, will it'll be easy to understand your business from the external perspective. So please do that.
Operator: Well, then moving on to the next question. Goldman Sachs and Tanaka-san.
Chikai Tanaka: Tanaka from Goldman. I hope you can hear me.
Operator: We can hear you.
Chikai Tanaka: I have 2 questions. First question and the regional communications business segment and the background of the increase in revenue. And I think what you have included the effect from the price increase, but the onetime cost, which was recorded in the previous year, it's gone now. And so one of -- the sort of the expense will drop? And also, if you could just the separate all these factors. And so whether will you be able to maintain this kind of the trend into the second quarter or not, I hope you will give me the sort of the breakdown of the factors contributing to that.
Unidentified Company Representative: Breakdown?
Chikai Tanaka: Not exactly breakdown, but basically speaking.
Unidentified Company Representative: And we have been steadily increasing the revenue from fiber optics service. And relatively speaking, this is not exactly the base trend, but some impact for the shorter term. And the enterprise business revenue, and particularly this year or particularly the first quarter, we had some the impact from GIGA school, and the profit contribution came from that. And somewhat detailed, but in Western Japan last year, there were disaster recovery of Noto Peninsula and there was the sort of cost incurred. And so that has pushed down profit revenue last year. And so that has really been the background factor of the increase in revenue this year.
Chikai Tanaka: So you have the effect of really what the absence of onetime cost. And also, you have this for the continuous, what are other trend going into the second quarter as well. Can we expect that?
Unidentified Company Representative: As you have said, the fiber optic network business and also the enterprise business NTT East and West have been performing quite strongly. And so this would be while contributing it to profit as the underlying supporting factor.
Chikai Tanaka: And the second question is related to data center. And yesterday, NTT DATA, the financial results announcement and overseas. And I think that the data business is really supporting of that. And also data center business is profitable. And the CapEx planned for this year is almost flat from that of the last year. And so going forward, is there any potential increase in CapEx because while you are really going to make it wholly owned subsidiary company. And then there is the growth potential, so -- and the midterm view, is there any idea to really enhance or increase the CapEx, from the midterm perspective? And so from this fiscal year, is it going to be flat? Or do you see any potential increase?
Unidentified Company Representative: Well, data center investment in the midterm, I think that is a first of your question. And still vis-a-vis data center demand is still very strong. And as with investment into data centers, I cannot really well clearly say how much, but in order to respond to the strong demand and investment-wise, we would see a somewhat upward trend. That's what we think. And the demand for AI, there are mixed views and some people say that it is very strong. And some people are saying it is a kind of a bubble in demand and a very solid demand for cloud. So we have that kind of demand. So we expect that the strong demand is going to continue. And so we would like to capture business opportunities in line with that and to really have the sort of reflection of that into this revenue as well as income. So we think that we can be quite bullish on that.
Operator: I would like to take the next question from Okasan Securities, Mr. Okumura.
Yusuke Okumura: This is Okumura from Okasan Securities. Can you hear me?
Operator: Yes, we can hear you.
Yusuke Okumura: I just have one question or a qualitative question and may be overlap with the previous question. NTT DATA's overseas business, is run by NTT DATA Inc. Regarding this company, your company, if I read the material, you submitted MIC. Your interest is transferred and made it a wholly owned company by NTT DATA is my understanding. The decision-making process being centralized. What is that going to change? In the last several years, what kind of specific challenges were there? And towards that, on global business, expanding the data center business? And what are you -- what are your expectations? Or what are you expecting to happen. Sorry, it's quite of a broad question, but if you can answer as much as possible, I will appreciate it.
Akitoshi Hattori: This is Hattori from our corporate strategy. Wholly owning entity data and DATA Inc's capital being centralized as we explained at that time. When we announced this deal, we have explained it several times, the decision-making will be centralized, and we are able to have a flexible decision-making. What we're saying about this is that there is a specific decision-making between the holding company and data or between data and DATA Inc. If -- it's not that we have problems agreeing to a certain decision. However, looking at the current AI demand, and within the global solution area, the environment is changing quite rapidly. And so in order to be able to make a flexible agile decision-making regarding the capital investment and investments at each level of the decision-making, if they have a certain group of the shareholders and trying to get the consensus of that and then try to move it forward, then the reaction will be behind at the speed that the market is moving at. So it's not that there was a difference in decision-making and with centralizing it, we'll be able to make a decision. But it's not that, it's the responding to the environment and being able to have a more agile, flexible decision-making that will be in line with the market trend.
Operator: Any other questions? [Operator Instructions] There seems to be no further questions. Well, then there seems to be no further questions. And so with this, we would like to conclude the briefing session. And we are going to have the briefing session of NTT DOCOMO after this, and so please keep your line connected, and thank you very much for your attendance today. [Statements in English on this transcript were spoken by an interpreter present on the live call.]